Operator: Good morning, and welcome to the Quanta Services Fourth Quarter and Full Year 2025 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. If you have any objections, please disconnect at this time. I will now turn the call over to Kip Rupp, Vice President, Investor Relations for introductory remarks.
Kip Rupp: Thank you, and welcome, everyone, to the Quanta Services Fourth Quarter and Full Year 2025 Earnings Conference Call. This morning, we issued a press release announcing our Fourth Quarter and Full Year 2025 Results, which can be found in the Investor Relations section of our website at quantaservices.com. This morning, we also posted our fourth quarter and full year 2025 operational and financial commentary and our 2026 outlook expectation summary on Quanta's Investor Relations website. While management will make brief introductory remarks during this morning's call, the operational and financial commentary is intended to largely replace management's prepared remarks, allowing additional time for questions from the institutional investment community. Please remember that information reported on this call speaks only as of today, February 19, 2026. And therefore, you're advised that any time-sensitive information may no longer be accurate as of any replay of this call. This call will include forward-looking statements and information intended to qualify under the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995, including statements reflecting expectations, intentions, assumptions or beliefs about future events or financial performance or that do not solely relate to historical or current facts. You should not place undue reliance on these statements as they involve certain risks, uncertainties and assumptions that are difficult to predict or beyond Quanta's control, and actual results may differ materially from those expressed or implied. We will also present certain historical and forecasted non-GAAP financial measures. Reconciliations of these financial measures to their most directly comparable GAAP financial measures are included in our earnings release and operational and financial commentary. Please refer to these documents for additional information regarding our forward-looking statements and non-GAAP financial measures. Lastly, please sign up for e-mail alerts through the Investor Relations section of quantaservices.com to receive notifications of news releases and other information and follow Quanta IR and Quanta Services on the social media channels listed on our website. With that, I'll turn the call over to Mr. Duke Austin, Quanta's President and CEO. Duke?
Earl Austin: Thanks, Kip. Good morning, everyone, and welcome to the Quanta Services Fourth Quarter and Full Year 2025 Earnings Conference Call. I'd like to begin by thanking our exceptional employees for their continued absolute performance mindset, dedication to safety, operational excellence and delivering mission-critical infrastructure solutions to our customers. Your commitment has once again driven outstanding results and position Quanta for sustained success. 2025 was another year of significant achievement and advancement for Quanta. Again, we delivered record results as we generated double-digit growth in revenues, adjusted EBITDA and adjusted earnings per share, along with record free cash flow and backlog. Quanta has produced record revenues, 8 of the last 9 years. 8 consecutive years of record adjusted EBITDA and 9 consecutive years of record adjusted diluted earnings per share. Quanta has clearly established itself as a compounder of profitable growth. These results reflect the strength of our diversified solution-based business model and our portfolio approach, enabling us to adapt to evolving industry dynamics, while consistently delivering execution certainty and profitable growth across varied market conditions. Throughout 2025, we continue to enhance our capabilities through strategic disciplined capital deployment. We completed 8 acquisitions during the year, including 3 significant transactions in the second half of 2025. We acquired Dynamic Systems, a premier turnkey mechanical and process infrastructure provider that strengthens our presence in the attractive and growing technology, semiconductor, health care and load center markets. And in the fourth quarter, the acquisitions of Tri-City Group and Wilson Construction Company expanded our cross-skill platform to deliver critical past solutions for load centered facilities and electric utility programs. In the aggregate, the acquisitions we completed in 2025, along with our organic growth, added approximately 11,100 employees, bringing our total workforce to approximately 69,500 at year-end, reinforcing our self-perform capabilities that provide certainty and differentiates Quanta as a solutions provider. Looking ahead, we see substantial momentum building across our end markets as evidenced by our total backlog of $44 billion. The convergence of the utility, power generation and large load industries, combined with accelerating load growth demands is driving unprecedented infrastructure investment requirements. For example, in October, we announced Quanta selection by NiSource to design, procure and construct generation and infrastructure resources, capable of producing approximately 3 gigawatts of power for our large data center campus in Indiana. A project that showcases the breadth of our total solutions platform as well as our support customer affordability objectives. Additionally, we continue to advance our vertical supply chain solutions through strategically investing approximately $500 million to $700 million over the next several years in our power transformer manufacturing facilities and vertical supply chain strategy. The majority of this investment will build out production for the 345-kilovolt through 765-kilovolt power transformers and breakers which we believe will create a significant differentiated solution for Quanta and our customers in the high-voltage transmission market. These programs are just a couple of examples of Quanta's ability to provide total solutions across converging markets that are designed to deliver speed and certainty. In many ways, we believe we are just getting started. We are confident in Quanta's ability to deliver innovative, craft-based and supply chain solutions that are designed to meet our customers' need for certainty and for their success. As we said last quarter, we believe we were well positioned to achieve record backlog and another year of double-digit earnings per share growth in 2026, and our full year guidance reflects that conviction. Our strategy remains grounded in craft labor excellence, execution certainty and disciplined investment. We believe Quanta is uniquely positioned at the center of a multi-decade infrastructure transformation, and we are confident in our ability to generate attractive compounding returns and deliver long-term stakeholder value. With that, I will now turn the call over to Jayshree Desai, our CFO to provide a few remarks about our results and 2026 guidance, and then we will take your questions. Jayshree?
Jayshree Desai: Thanks, Duke, and good morning, everyone. We are pleased to report another quarter of strong execution, capping a year in which Quanta delivered record results across virtually every key financial metric. For the full year, revenues reached $28.5 billion, an increase of 20% compared to 2024. Adjusted EBITDA was a record $2.9 billion and adjusted diluted earnings per share grew 20% year-over-year to $10.75. We also generated record cash flow from operations of $2.2 billion and record free cash flow of $1.7 billion. In the fourth quarter specifically, revenues were $7.8 billion, with adjusted EBITDA of $845 million and adjusted diluted EPS of $3.16, all records for Quanta. Cash flow from operations in the quarter was $1.1 billion, and free cash flow was $946 million, both fourth quarter records. During the fourth quarter, we completed 3 acquisitions: Tri-City Group, Wilson Construction Company and Billings Flying Service for aggregate upfront consideration of approximately $1.7 billion funded through a combination of cash and Quanta common stock. These businesses complement our strategies and expand our power delivery capabilities for large loads center facilities and utility capital programs. Even after deploying this level of capital following the third quarter acquisition of Dynamic Systems, we maintained a leverage ratio below 2x, a testament to the strength of our cash generation and our commitment to balance sheet discipline. Looking ahead, this morning, we provided our full year 2026 financial expectations, which reflects continued double-digit growth in revenues, net income and adjusted EBITDA as well as the opportunity to deliver over 20% growth in adjusted EPS. These financial expectations are supported by record backlog at year-end of $44 billion, the strength of which is broad-based, driven by ongoing investment in grid reliability and resilience, growing demand for power generation and the long-term infrastructure investment required to meet rising electricity consumption across the economy. These are multiyear structural demand drivers that provide us with meaningful visibility heading into 2026 and beyond. Additionally, we expect free cash flow of $1.8 billion at the midpoint of our range which includes $250 million to $350 million of expected capital expenditures related to the vertical supply chain solution that Duke described. A range of free cash flow also contemplates the collection of the remaining balance associated with the large Canadian renewable transmission project discussed in prior calls. Additional details and commentary about our 2026 financial guidance can be found in our operational and financial commentary and outlook expectation summary, both of which are posted on our IR website. In summary, 2025 was a year in which Quanta continued to deliver on its commitments, providing certainty to our stakeholders and compounding earnings. We entered 2026 with record backlog and a strengthening outlook. The convergence of utility modernization, power generation expansion and large load growth continues to accelerate, and Quanta's workforce, breadth of solutions and execution capabilities position us well to serve our customers' most critical infrastructure needs. We remain focused on disciplined growth, operational excellence and creating long-term value for our shareholders. With that, we are happy to answer your questions. Operator?
Operator: [Operator Instructions] Our first question is from Julien Dumoulin-Smith from Jefferies.
Julien Dumoulin-Smith: Nicely done. Truly, kudos. Maybe just coming back to the Analyst Day coming up here and a little bit of a preview if I can. How do you think about this setting the tone for a high teens earnings growth, if you will, through the back half of the decade? And specifically within that, can you talk about what's embedded in '26 guidance as it pertains to data center contracts? And also, obviously, Jayshree, you've just announced, you closed on a number of acquisitions. Again, where are you positioned with respect to capturing the data center opportunity and the internal versus still needing further external acquisitions to really achieve the scope that you're desiring?
Earl Austin: So on the data center, kind of how we're thinking through it, it's roughly like 10% of the business at this point, and that would be a go-forward basis. Backlog is certainly growing. It's our fastest-growing piece of backlog. There's a lot of opportunity there. I continue to see us booking significant backlog this year and beyond. It's a multi-decade, probably the way I see at least a decade of growth in that area. So we're having success there, and I do believe the company is well positioned to take that growth. And I forgot the other 4 questions. What was the other?
Jayshree Desai: Just how do you see the several years?
Earl Austin: Several years. Yes. Look, I think when we see it, the company has put up, management teams put up a decade of type results. Same management team, same philosophy, better markets, larger TAMs. I like our chances to continue what we've done in the past.
Operator: Our next question is from Steven Fisher from UBS.
Steven Fisher: Congratulations on the deals. Just wanted to ask you a little bit about the electric margins kind of steady for the last few years. I wonder if you could just bridge some of the puts and takes between 2025 and '26, I imagine there's some things underlying there in terms of SunZia and perhaps other things. And maybe just more broadly, about the margin initiatives that you have? I know you've got a number of them. Could you just talk about how you see some of those things coming through in terms of vertical integration, and pre-resource sharing mix, et cetera.
Earl Austin: Yes. Thanks, Steve. I think when we look at the company, there are large projects that we're continuing to see. But '26, I -- we don't anticipate starting any 765 type work. We don't see any major large projects in it. It's really just solid growth across a broad spectrum of markets. There's nothing -- there's no SunZia I got you, with the company at $33.5 billion. SunZia is really not going to move the needle at this point. I think you're seeing broad-based type growth that you'll continue to see. I think the difference is we're in 2 verticals, you have the technology TAM that's well over $1 trillion and the utility TAM over $1 trillion and growing. So as we look at both those markets and take those opportunities, the company has a significant portfolio of ways to grow well beyond what we should be talking about in SunZia, I think that's passed, and we've done a nice job there, commending the team that put that together. But again, we are happy to build SunZia, and we're happy to do the baseload work of everyday, programmatic spin with our -- both our technology and our utility customers, and that's what you see the company focus on. The large project dynamic comes with that. But the initiatives of 765 again, we talk about it a lot, it's not in backlog yet and it's not something that we see in '26.
Operator: Our next question is from Jamie Cook from Truist Securities.
Jamie Cook: Nice print. I guess just Duke question since the announcement with NiSource last quarter. I'm just wondering what the path towards doing more CCGT projects. I'm just wondering if additional customers are coming to you now that you sort of dipped your your foot in this. And as you do this, should we continue to see joint ventures at path? And then I guess just my follow-up question. Margins in electric infrastructure, 10.3% at the midpoint similar to the past couple of years. I'm just wondering if investors should think of this as sort of the new margin target? And why wouldn't there be opportunities for margin expansion with 765 coming online soon and just bigger, larger projects should be favorable to margins.
Earl Austin: Yes. Thanks, Jamie. I'll go backwards. I think when we look at margins and margins improvement. Yes. I mean we have opportunity to improve that. I think we took a prudent approach to the midpoint of the guidance. And there's certainly things within it that we can improve. We do organically -- we'll grow around 6,000 employees. That's pressure on those margins, as we've talked about in the past, and we continue to kind of have the same ratios. So that tempers some of the margins about still 50% plus of the business is under a regulated environment with their utility customers, and we look more at compounding that over multi-decades versus trying to enhance margin percentage point here or there. Yes, I do think we can operate better. We certainly have a mindset to do so. It's also about risk. I mean I think the company is really working on the quality of earnings and the risk profile. We're unwilling to take the risk. You may have seen in the past, but the margins are there. And so it's really a compounding story, Jamie. I don't think you're going to see any of these outward margins and especially in our regulated business. And even in our addressable market with technology. We're working hard with the technology customers to have more of a programmatic look to this. And that's the company. That's who we are. We want to collaborate and multi-decade look, we're not trying to do anything other than enhance our customers' ability and the stakeholder, their customer from affordability to everything else, we have to be a part of the solution of the industries that we serve. And I would also say, Steve asked something on margins. I want to go back to that, sorry. I do think the company has initiatives internally that from vertical supply chains and all the things that we're doing, sorry, Steve, I didn't catch you, that will help us, but you also have health care and all kinds of things that are pressing including what I just discussed with Jamie. So Sorry, I missed that part.
Operator: Our next question is from Manish Somaiya from Cantor Fitzgerald.
Manish Somaiya: Congrats on a strong quarter, strong year and obviously a strong outlook. The question I have, Duke, again pertains to what's happening in the marketplace. Maybe if you can just give us a sense of the pricing discipline that's holding in, in the marketplace combined with potential supply chain dynamics that might be also a potential headwind as we look at the growth opportunities that you have?
Earl Austin: Yes. I mean I think when you look at supply chain, you see our announcement this morning, it's really around trying to derisk the supply chain as well as take advantage of what we see in the marketplace. I mean you got $300 million to $500 million, probably up in the $700 million over the next 3 years is derisking us. The transformers breakers, the things that we're building don't show up, we have issues, significant issues. So I think part of that was a collaboration with the industry and our client and AEP on building transformers to their spec. And it's something that we take very seriously. And we know that our clients want certainty. This company is built on certainty and billings, transformers, all the things that you may not think why are they doing that? We're doing that to derisk this company long term and allow us to be certain as we look at it, while addressing affordability to our clients. And I think that's a big thing is affordability. And we're working on those things with our vertical supply chain, which allows us a great sense of certainty when we guide and when we tell our customers that we can do something on time, on budget. And as far as craft, we've invested in craft for 2 decades. That's who we are. Any time you have a tight craft labor market, Quanta does very well.
Manish Somaiya: Duke, the other question I had was on pricing dynamics of the marketplace.
Earl Austin: Yes. I mean, look, I think we look at it more in a collaboratory manner where we were bidding on a 1-year type, 2-year type things. Now we're not bidding at all. We're negotiating 5, 10-year type programmatic spend. And that's the difference. It's it's more longevity, more risk-adjusted type look at the business, solution providing, pull-through, ROIC goes up in these environments, our return on invested capital because of things that we can do and offer in a solution base. So I really see just a longer term. It's not a margin story. I'll say it again.
Operator: Our next question is from Mark Strouse from JPMorgan.
Mark W. Strouse: Duke, I just wanted to follow up on Jamie's earlier question on gas power generation. Can you just talk about what you're seeing in the pipeline there? How you're expecting that backlog to trend in 2026? And then are you planning to expand beyond the Zachry JV going forward?
Earl Austin: Thanks for reminding me, I missed that. So I do think when we look at our gas generation business, we're certainly looking at the market, listening to the market. They're asking us to build these types of combined cycles, single cycles, all types of generation. And we put together a great team, a great platform. We're super excited about what we have booked. The opportunities, yes, I do believe when you look at the opportunities we will book more generation. We will book it both in a JV setting, we'll book it with just us. I mean, we're certainly capable internally of building generation and will. So it's really around the risk where that's something that we're not going to deviate on. It's part of it and our customer base and anyone that calls asking for generation it's risk-adjusted. We're not getting in a position where -- of the past where we firm fixed price generation, not doing it. So if people want us to build it. It will be risk-adjusted. And yes, I believe we'll book backlog throughout the year. There is no shortage of inbound calls when in Quanta to build generation. So I'm confident you'll continue to see that backlog growth, which is not in backlog yet. So the first one is not in backlog. I suspect we'll have multiple in backlog before the end of the year. And I think it's more of a '27, '28, '29 type build, where that's the ramp on it, and it will continue on. We've built a nice platform, and I'm excited about it.
Operator: Our next question is from Ati Modak from Goldman Sachs.
Ati Modak: Duke in your prepared comments, you talked about strategic initiatives to expand programmatic customer relationships. Can you talk about that a little bit more, give us any color on what you're thinking of and what we should expect there?
Earl Austin: I mean I think when we look at the utilities and we look at the technology customers, it's our job to certainly help with their builds and make them successful. That's how this company views it. And as that -- as we do that, look, people want certainty. They want to -- they have to have it. And I think that's what we are known for is execution certainty and construction risk is not something that we're concerned with on -- primarily on the regulated utilities, except gas fire. So we'll really -- I think we're just in a good spot there. And the discussions we're having are solution-based discussions and they have issues with labor, labor constraints, vertical supply chain issues. We've done a nice job seeing down -- seeing out 5, 10 years and putting ourselves in great positions here to take advantage of those things. It may have looked funny to Wall Street 5 years ago. And they're showing up today as something that looks visionary, and I think that's what we're trying to accomplish.
Operator: Our next question is from Mike Dudas from Vertical Research Partners.
Michael Dudas: Yes. Thanks, and good morning, Duke, Kip and Jayshree. Just checking to make sure I'm like -- hey, Duke nice decade. So looking at the the news flow and the demand expectations appear to be off the charts and getting bigger. Can you sense of how real the market is? Like discussion with utilities on the load factor side, are there a lot more fluff in the market? Is there a reality? And what are some of the hurdles? Are there hurdles becoming less important or more important to execute what the plans of your customers are over the next several years, maybe regulatory or some of those issues there.
Earl Austin: I mean any time you're really contemplating doubling the size of the largest human infrastructure project in the world. I would tell you like it's hard. And there's stops and starts and all kinds of different things that you can find out in the marketplace and certainly on social media. Yes, I think some of it is high. But even if you discount it 50%, it's still doubling the size of the largest infrastructure project in the world. And I don't see any demand slowdown at all, I don't. And I can -- we can see out kind of 5 years, maybe longer. I mean, we're probably in 2032 now kind of looking at things and booking things. So I think it's way out there. We have to build generation in this country, all forms. And I think it's something that our customer base, our utility customers are certainly -- they're regulated in many ways, but I'll speak for them. They have a great business, and it goes unnoticed of how the energy business is growing substantially. It's a growth business. And we're right in the middle of it with them. You're going to get some political windfall kind of rhetoric here with what I would consider unfounded things that go on with data centers and things like that. When you look at the Indiana project, it's $7 a month rebate basically to every rate payer in NiSource, maybe more. So I just -- I think we have to do a better job as an industry promoting how good this industry is. We're trying to do the right thing for the stakeholders, while advancing system and generation capabilities to double the size of what it is today. And I'm super excited about it. These utilities are super excited about it. They're doing a great job managing through all this political rhetoric. But underneath, I can tell you, legs are moving fast and people are doing things.
Operator: Our next question is from Sangita Jain from KeyBanc Capital Markets.
Sangita Jain: Duke, it looks like the hyperscalers and co-locators are increasingly looking for financing partnerships for large projects as the project sizes get bigger. Would you ever consider becoming an investor in a large infrastructure project if the scope of the award measures up against your risk profile?
Earl Austin: Yes. I mean, Sangita, we've looked at those things in the past. I would say we never compete with our customer on those type of things. So you get in a situation where if you invest significantly with co-locator hyperscaler and things that like that, you run the risk of competing with who our client is and we don't do that. So can we help with supply chain? Can we do some things to help move things along? Sure. We have not taken outside money for any of our expansions. We just haven't. I mean, we've been offered on transformers, all kinds of different things. We don't need capital. We need capital, we don't need anyone else's. We want to control our own destiny. And I think it's extremely important that we have the balance sheet where we can do those things and enhance what they're able to accomplish. But as far as, at this point, us putting in capital into an asset such as a data center, I can't see it. We can do things in other ways. And the company, what we see going forward based on our ability to deploy capital in the core business, I like what I see there much more than trying to invest in something that we don't -- that's not core to us. That's how I see it.
Operator: Our next question is from Brian Brophy from Stifel, Nicolaus.
Brian Brophy: Nice quarter. Duke, you mentioned previously, you're seeing the tight craft labor market. I guess, can you talk about some of the areas of your business where you're seeing more or less tightness currently?
Earl Austin: I mean, it's across the board. I think we've got to do a good job of getting pipelines of craft in here, and I was in D.C. yesterday with Veterans in Energy. And I can only say like we're working hard at building these pipelines into the company. And we've got to get out and promote it and make sure that we stay in front of it and our colleges and campuses and all the things we're working with our unions and nonunions. Everything that we're doing I think, will help us. But it is tight. I would say anything around the data center stuff is probably the tightest market at this point. The utility type transmission, big transmission, things like that hasn't really started yet. You'll see that in the back half. Distribution is kind of modest growth in that. Telecom is moving in the right direction. I think you'll start to see fiber splicers, things like that get tight. But in general, it's good. we know where it's going. We see it. We're investing in the right spots, and we'll take advantage of those markets.
Operator: Our next question is from Nick Amicucci from Evercore.
Nicholas Amicucci: Just a quick one for me. As we kind of saw at the end of last week, I just wanted to get a sense of kind of the ability to kind of push the button on executing on more renewables projects, just given that we have now some guidance, albeit preliminary, but on the [ FIAC ] side. Have you guys seen kind of -- have the conversations kind of picked up granted over the past week, just with regards to those and just kind of moving those things forward.
Earl Austin: Yes. I mean, I'll let Jayshree comment as well. But from what I see, we continue and have continued to stay kind of double-digit type growth plus in our renewable business, and we can see out through 2030. I'm not concerned with that business. It's -- there's always going to be a [ FIAC ] There's always going to be something in that business that's noisy. We have to operate through it. When you think about solar and batteries, it's the very fastest thing we can put on the grid right now in many areas. So we can build it fast. We don't have to wait on turbines or anything like that. So I do think there's opportunity there, and you'll continue to see that, and it will be in a form of energy for the foreseeable future, right? Wind is getting some bad press, but you'll still see Wind get built and not under some sort of political pressure and all kinds of different things, but it's still getting built underneath and it's needed to fill the generation gap. And Jayshree, you want to let you comment on this?
Jayshree Desai: No, the only thing I would add is the customers we've been working with, as you know, is we've been -- they've been very, very strategic about getting ahead of a lot of these political dynamics with safe harboring and the projects in which they're working and having a robust enough pipeline to deal with some of these things that are just endemic to the renewables industry. So we have continued to work with them on a multiyear basis. And so it's allowed us to be comfortable with where we sit in our renewables expectations. We'll, of course, continue to work with them over the next several years as the dynamics around the [ FIAC ] and other things become more clear. But as of now, it's as Duke said, it's just business as usual. We continue to see good growth there. There will be times, of course, where our customers will have to deal with certain political dynamics, but there -- these are customers that are comfortable doing so, and we've intentionally stayed with customers who can do so and who have a track record of over a long period of time of managing these things. And the demand continues to be very, very strong for those projects our customers are working on. So it's just business as usual on the renewable side.
Operator: Our next question is from Adam Thalhimer from Thompson, Davis & Co.
Adam Thalhimer: There was a comment in the prepared remarks about large transmission projects becoming increasingly visible. Can you just compare what's in backlog for large transmission to what you see out there in the bidding environment?
Earl Austin: Yes. I'm not sure how to define it. What's large now these days, so I would just say we have no significant 765, no 765, which I consider those large projects in the backlog. I don't -- there's not a lot of large dynamics in there. It's more programmatic spend more so than any kind of main project that I'm aware of. It's minimal. It's -- I mean, look, we see it coming. We see it stacking. We've talked about it. I think you'll see us book later half of 2027, a significant amount of 765 and other types of work. It's not just 765, it's 345, 500. Data centers, I don't know, generation, it's stacking. I feel confident that there will be some chunky awards all the way through the next 3 to 5 years. We're just getting started. I know the backlog is going. I see it too. We're taking market share. We're doing the right things. We're focused on the base business. We're not letting off of it, and the management team is highly focused on not giving up on that base business, in fact, growing it.
Operator: Our next question is from Justin Hauke from Baird.
Justin Hauke: Great. I wanted to ask about the custom fab capabilities that came from this acquisition, this morning, I guess, at Tri-City, is that -- I guess, is that all new to you? Or did you have some fabrication capabilities from Cupertino or elsewhere before this? And maybe just talk about the capacity you have there and also, is that all being done for self-performed construction work? Or is that something where you're selling those prefabs to others to use?
Earl Austin: Yes, we did have some fab capabilities come in with Tri-City, great group there. We like what they were doing. That just adds to the 3 million square feet we already have. So we have significant amount of fabrication prefab. We call it premanufactured because it is manufactured. So I do think when we look at it, it's a little different. Everybody specs a little different. So we're fabricating really from a manufacturing engineered type fabrication. So it's a little unique. I would go back and tell you Cupertino, over a decade ago, was the first mover in this and we have a lot of experience with fabrication and prefabrication, what goes wrong and what goes right, and we'll continue to work with our customers, whoever the customer may be, we're certainly willing to fab for others, if that's what the market is. That -- we say it all the time, it's fungible. In many ways, those facilities are fungible, but there's no shortage of people willing to shore up capacity for 3-, 5-decade type arrangement. So we're happy to do that as well.
Operator: Our next question is from Chad Dillard from Bernstein.
Charles Albert Dillard: So my question is on the architecture shift from 54-volt to 800-volt DC for data centers. Just curious how that changes Quanta's TAM. And maybe you can talk about whether you see any impacts on the front of meter, but probably more so behind the meter. And then secondly, as you reengage in the power generation side for natural gas. Can you talk about the opportunities you're seeing in the mix between front versus behind the meter?
Earl Austin: Yes. So voltage going to DC, some of the architecture that NVIDIA has put out, that's -- a lot of the learning chips are you can see anyone these NVIDIA go into those type of architectures. I believe we're in front of that I don't see it changing our TAM at all. You might get more medium voltage type arrangements in there. Still a lot of low voltage type things. We've done a lot of research on it. We feel good. We work with NVIDIA and others to make sure that we see where they're going and make sure we have the craft necessary. So I feel comfortable with that. But I don't think like when you think through it, there's still lot of the older architecture that will be used throughout. It's something that we'll have both when we think through it. So both are growing significantly. We're in front of that architecture. I do see -- I do think that when you look through to the intermittency of the chips, much better to put it on the utility let the utility take that intermittency. It's smarter, it's better. It's just an amount of -- you've got constraints in the queues and things like that. People are trying to go behind the meter simply because you can't get to the meter. So that -- it will be both sides of this. There are some good things and bad things on both in regulatory environments. We've got to get the regulations right and make sure that the ratepayer is not the one that's got the bill, that's got the tab. That is not happening today. I think the utilities you can come in and they've done a fantastic job of regulatory, making sure that the technology is paying their way and technology wants to pay their way. So all the nonsense around that is just what I consider wherever it is out there today on social media, wherever it is and normally around some political aspect of it. It's not reality. So look, we see opportunities on both sides. We'll participate either side. But I do think most off-grid, a lot of off-grid will be used for your backup power as you move generation on. So you'll start with 100, 200 max and then back up for a bit and then come on with utility type solutions. That's what I see. As far as natural gas, we're still in there. We've never left. It will be a part of the business that we see it and it's certainly backing up some of these -- we're getting involved in them where they're backing up some of the hyperscalers and data centers.
Operator: Our next question is from Liam Burke from B. Riley.
Liam Burke: In 2026 on the M&A pipeline Duke, are you seeing sufficient opportunities to either add to your base business or large enough to actually make a difference as the business continues to get critical mass here.
Earl Austin: Yes. And I would say every acquisition makes a difference. But when I think about it, yes. We see opportunities as far out as we can see as far as good businesses. I can't tell you the cadence, both businesses that I didn't -- we've known -- I've known the Wilson family, my whole career and super family, happy to have them here. They fit here culturally very excited. They give us some underground capabilities out in the East, which I think is fantastic as well as shore up some things in the West. Some of these things you don't see coming. We have a good reputation where, I believe, culturally we want a certain type of company. There's no shortage of people wanting to sell their businesses on any given day, I promise, like they're out there. How we look at it, we're very selective. And we'll -- all of our strategies, we'll lay it out in April -- March, I guess, he won't let me talk about it much. But I'm, in general, pretty excited about that as well of talking about kind of what we see. And I see the same type of cadence. It may be lumpy along the way. We may not do a deal in a year. I don't -- I just think we'll continue to be selective and follow the path to provide the solutions to our clients. When we're looking at this, someone is asking us to do something typically, and we needed the platform to provide the solutions. You saw us invest organically in our vertical supply chain, it's needed. We need to do it. We're going to do it. It's something that's -- what I feel like the demand is coming in and we have to make sure that we can meet the demand. So that said, we're taking opportunities to both organically invest as well as look at acquisitions from platforms to bolt-ons. They all add up.
Operator: Our next question is from Phil Shen from ROTH Capital Partners.
Philip Shen: You're building so much of the infrastructure for AI. Can you talk through any initiatives you guys have to take advantage of AI to lower your OpEx. Can AI meaningfully change your outlook for OpEx in the coming year or 2? And then as it relates to bidding and booking dynamics, Duke, I think you were sharing that you guys are booked out through 2030 for renewables. I was wondering if you might be able to share kind of similar color for the other segments? And then ultimately, how much work are you guys turning down?
Earl Austin: Yes. I want to clarify, I don't think I said we're booked out, I said we're booking through just to make sure that we get on the same page there. We're certainly taking advantage of we can stack and we're not booked by any means, we'll take all comers on renewables. What was the other question? Sorry, you got me off on that one. Yes, look, we would have our head in the sand. If we weren't looking at AI, what it can do for the company. We're already seeing ways to -- I think when we look at M&A, we're not looking at engineering anymore because I think AI is going to be significant there. And it's going to really affect the way -- we have 2,000-plus engineers and we'll definitely incorporate AI into it. And so I think there's a lot of things that will change. And we're in front of that. It's something that I'm highly focused on, both from cost and the way that we can get more productive in the field. There's a social aspect to this as well. I think when you really look at what the impacts are on these companies, it's -- there's hard decisions to make, and we're trying to make sure -- we're a growth company. I won't really fire people. We grow people, hire people. And so we've got to make sure as we displace that we have avenues for people to move into different skill sets, and that's what we're doing here. So I think every bit of savings you get, we're pouring back into AI initiatives.
Operator: That was our final question. I will now hand back to Kip Rupp, Vice President, Investor Relations, for closing remarks.
Earl Austin: I'll be Kip. I want to think our men and women in the field. They're very best in the world. They have an absolute performance mindset and they are Quanta. And I want to thank you for participating in our conference call. We appreciate your questions and ongoing interest in Quanta Services. Thank you. This concludes our call.